Operator: Good morning. My name is Ken and I'll be your conference operator today. At this time, I'd like to welcome everyone to the DISH Network Q4 earnings call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. (Operator instructions). And now I'd like to turn the call over to Mr. Jason Kiser. Sir, go ahead.
Jason Kiser: Alright. Thank you, Ken. Well, thanks for joining us. My name is Jason Kiser. I'm the Treasurer here at DISH Network. I'm joined today by Charlie Ergen, our Chairman and CEO, Bernie Han, our CFO and Stanton Dodge, our General Counsel. Before we open up for some Q&A, we do need to do our Safe Harbor disclosures and for that we'll turn it over to Stan.
Stanton Dodge: Thanks, Jason. And good morning everyone. Thanks for joining us. We invite media to participate in listen-only mode on the call and ask that you not identify participants or their firms in your reports. We also do not allow audio taping and ask that you respect that. All statements we make during this call are not statements of historical fact constitute forward-looking statements, which involve known and unknown risks and uncertainties and other factors that could cause our actual results to be materially different from historical results and from any future results expressed or implied by such forward-looking statements. For a list of those factors, please refer to the Form of our 10-K. All cautionary statements we make during this call should be understood as being applicable to any forward-looking statements we make wherever they may appear. You should carefully consider the risks described in our reports and should not place undue reliance on any forward-looking statements. We assume no responsibility for updating any forward-looking statements. With that out of the way, I'll turn it back over to Jason.
Jason Kiser: Thanks, Stan. And Ken, I think we're going to open it up just straight in to Q&A.
Operator: Absolutely sir. And our first question comes from Spencer Wang from Credit Suisse.
Spencer Wang – Credit Suisse: Thanks and good morning. Just two quick questions, I was wondering if you guys could just update us on where you are with the new revision will you swap out timing wise and process wise and any update on the TiVo lawsuit after the hearing in Texarkana in February? Thank you.
Charlie Ergen: Our current swap out where more than halfway through and should be completed by about midyear and then we'll start testing the turn-offs. We may do some of that for specific groups before that to give us some indications. The other thing that we are doing a little bit different this time is we also are in the process of not only doing this swap out but developing the next generation card so that we will follow at some point with another generation card behind this one, probably regardless of how the pirates attack it. So we'll continue to try to not get behind like we did last time. TiVo lawsuit, there was a hearing, gosh about two weeks ago, I think. In front of the judge in Texas, that is now complete and the judge will make his ruling. We anticipate that ruling won't be for several months. And he'll make his ruling as to whether we are in contempt of court or not of his injunction.
Spencer Wang – Credit Suisse: Okay. Thank you.
Operator: Our next question comes from Tuna Amobi from Standard & Poor's.
Tuna Amobi – Standard & Poor's: Thank you very much. So I think this is for Charlie. There's been a lot written and report about Sirius. I think this might be an opportune time for you to shed some light there in terms of what the strategic or financial intention was regarding your investment in Sirius through EchoStar and how that might also fit into your strategy for the 700 Megahertz. Are we closer to any kind of resolution there in terms of potential deployment of those assets? Thank you.
Charlie Ergen: A lot was written about it. Much of it was true. I would take this opportunity to say the one thing that clearly was not true was, there wasn't at least I can speak for my end there wasn’t and there's no animosity towards (inaudible) or anything like that, like it was printed in the press. I think that was probably, I don't know where do you get that certainly not from our side. We saw in Sirius, really a financial opportunity first and foremost could help a company that needed it. It's not a good business we thought but perhaps that didn’t have a very good balance sheet so we wanted to help there and saw that as a good financial opportunity for us. As well so strategically saw it as a business that was very similar to what we did today in that deals of satellites and recurring income and billing and installations and the very similar things that we do today at DISH Networks. So, we thought that was a good fit from a partnership perspective. As far as 700 Megahertz, we, 700 Megahertz, we don't have our life, our 700 Megahertz because of digital delay is until June now, but we see our 700 Megahertz as a strategic play at some point and not necessarily – wasn't necessarily related to apply the Sirius.
Tuna Amobi – Standard & Poor's:
 :
Charlie Ergen: Well, Sling, I think if you ask about previous management was thought of as a product and we, DISH, kind of think of it as a feature in the sense that it's really play shifting so, it's, it's similar in its importance to as to a DVR, except this time it allows you to take your programming with you. It does it in a unique way that ties the video to the subscriber. And we think that's important for programmers and corporate holders. So, we think that the way we do it Sling is the correct way to do it and obviously there's risk if people do it a different way. So, we think it's a fundamental technology, the building block that consumers are going to want because they are going to want their video product more than just in their home. And so I think the first step really is to make it a feature and if you are going to make it a feature then it needs to be in the products very similar to the way we did a DVR in the product. And so our first product comes out this summer in the 922 at DISH where we have Sling and its Sling enabled in the box. And it's seamless to the consumer. So, we will see whether our theory is right. Caution the DVR tech, that the DVR was around for four years or five years before it became mainstream and became a product that the customers couldn't live without I assume that something like Sling will be on the same kind of growth pattern, but I think for those people who are knowledgeable and do travel and want their video in another place besides their house or all the other rooms in their house. Right, that’s the other thing that it does it allows you to go in a wireless fashion to other rooms in your house. So, if you want it other than your main video source, if you want it some place else, Sling is going to be a technology that I think you are going to need, and so, we are very optimistic about the future of that feature set.
Tuna Amobi – Standard & Poor's: Okay. Thank you very much.
Operator: Our next question comes from Vijay Jayant from Barclays Capital.
Vijay Jayant – Barclays Capital: Thanks. Guys, I have a bunch of questions. Starting first on what you sort of suggested in your 10-K about reinvesting back in the business, the box swap out in terms of both so, can you sort of give us really in that turnaround that you've been going through where we are, how comfortable are you in really getting it all sort of worked out? What's really the cost of the box swap out? And I have a couple of follow-ups.
Charlie Ergen: Okay. Let me give you kind of a Big Picture answer. As I look at the company the last year, we've done a couple of things really right. One is our balance sheet is in good shape, and we are not, didn't get in the kind of situation that others have without a bad balance sheet and maybe having payments due that we paid $1.5 billion off last year and we had the money to do it. We don't have another major payment to October 2011, so we are not forced to go into the credit markets today. So we've got a good clean balance sheet and so we've done that right. Second thing we've done right is, I believe that we have the best video product out there. So, if consumers are on a mission, and they had a choice between us or our competitors for video, I believe that they would pick our product more often than not. So in other words, we really, really have a good product. Having said that, over the last three years, four years, we've allowed our operations to degrade and our customer service has suffered. And it's taken lots of different forms, and it starts kind of with our processes in terms of how you actually take the customer order or how you actually install the product, and we've become way too complicated in how we did that; way too complicated in our marketing, way too complicated in our product, way too complicated in how to operate. Another part of our operation that also suffered then was what I would call fraud and piracy. Our system became compromised. We were behind that curve. There were fraudulent actions by beaters where they just resigned up the same customer which became an ad and a turn at the same time, but it increased stock to our company. So, we've had to kind of go back and revamp those things. And I think now, I'd say it this way, 2008 was kind of a year where our goal was to stop getting worse. Alright. In 2009 we are now prepared to go forward by getting better. And it's much easier to manage a company when you are trying to get better than when you are trying to stop getting worse. And so, we've had to put the building blocks in place to get better. That includes some changes in management, includes some, but primarily a focus in management to realize that everything that we do, affects or impacts other parts of our business. And so, I'm much more comfortable with the management team we have and the focus we have kind of going forward in terms of getting better. So, I think that I'm glad we've done a couple of the major things right, but disappointed that operationally, we have made our product too complex and made it too difficult for customers to do business with us. That's something that you can change, it doesn't change overnight, it takes you a lot of years to mess it up a little bit, but that is something that's much easier to change than your product. It's much easier to change than your balance sheet.
Vijay Jayant – Barclays Capital: The 999 promotion, I think it's been there for a month, has the phone been ringing, have you got your profits in place to sort of self select the best customers that don’t become a problem two years later for us after the contract ends. Any color on that would be great?
Charlie Ergen: Well, surely we're telling. I mean, I would say from a Big Picture perspective, obviously, AT&T, the loss of AT&T, I believe was about 19% of our business in the fourth quarter, of our gross add. So, obviously that’s a negative in a sense but its also positive in the sense that we're able to go and get some subscribers that where we're not dealing with the competitor and both the competitor and a partner. So and we're able to develop a long-term of those kind of partners that aren’t doing the same page for us long-term. So, we have to go replace that business. But our operations, we are able to go out and promote more aggressively than we have in the past because our operations are more solid than they were. So, and we'll have to see how those kind of things balance out going forward through the year. And having said that, we certainly have tightened up our credit standards in terms of kind of customers we would take and certainly there are large number of customers who are calling on our promotion who don’t qualify from a credit perspective. That's why anecdotally the first thing we found out which is okay. I mean, in the past, we might have taken those customers and it doesn't make sense in this environment to do that.
Vijay Jayant – Barclays Capital: Finally, Charlie, on the TiVo situation, if the judge rules against you and the outcome is to shut off the DVR can you give us some sort of base analysis? I'm sure you've done all the options and obviously look at what could happen. Can you give us sort of how you look at the various outcomes? Obviously if you win the case then it's great but can you just sort of talk about how you see the outcomes there?
Charlie Ergen: Yes. I mean for the Big Picture I would expect that at some point we'd be doing business with TiVo. So the ideal outcome is obviously that you will have a business arrangement with TiVo today. But we have an honest disagreement in terms of the way we operate our system and the way that we think that they think we operate our system and the way that they've told the judge and jury in Texas that they do operate their system. And so, we remain far apart today. The judge is more or likely will make a ruling in favor of one company or the other and that would probably set the ground rules going forward. And we again, we have a lot in common with TiVo offside and in intellectual property realm, but we have a major disagreement. We think the intellectual property laws are to encourage innovation and that's what we've done and we know, worked hard to design around the way they've told the courts their system operates. So, there is certainly risk in for both sides in the case. But I guess we look at it fundamentally two ways, one is, what did we do and we know we did a lot of work here so we know better than anybody else the kind of things that we did to design around the intellectual property and the second thing is what does the law say? And we think we're on the right side of both of those things. And obviously, it takes a lot of courage, when you believe you're right but we believe we're right. Ultimately, there is any number of things the judge could say and we'd have to look at that ruling before we would have a strategy going forward. We have to actually see what he says. And that would give us another road map to how we would proceed going forward. But having said all that at some point, I expect that at least on some business terms even though it may not include an intellectual property, that there are many things that are similar with what we want to accomplish and what TiVo wants to accomplish and there's ways for both of us to make money and then you can't get to that point if both sides are far apart on their beliefs. And so, sometimes a third party has to settle the beliefs.
Vijay Jayant – Barclays Capital: So, what's the DVR base and just a housekeeping question on the CP CapEx for the quarter? Thank you.
Bernie Han: The CP CapEx for the quarter was 224. The full year is 920. And actually we started putting that number in our SEC filings. If you look under our cash flow from investing activities you'll see the 920 million number in there and you'll see that going forward as well.
Vijay Jayant – Barclays Capital: Thanks.
Operator: (Operator instructions). Our next question comes from Craig Moffett from Sanford C. Bernstein.
Craig Moffett – Sanford C. Bernstein: Hi. Good morning, guys.
Charlie Ergen: Good morning.
Craig Moffett – Sanford C. Bernstein: Hey, Charlie, you mentioned a moment ago that AT&T accounted for about 19% of your gross ads. Assuming it was about 10% when it was half the footprint about a year ago, it would look like your gross ads are down about 25% year-over-year. I mean that presumably is not just a customer service issue. Can you talk more about the gross add trends that you're seeing and what it is you can do in '09 to reverse the down trend in gross ads?
Charlie Ergen: I guess some of it was self-inflected. I just didn't feel like we should be out aggressively in the marketplace at least vis-à-vis what our competitors were doing. And the situation that we weren't handling the current customers that we had very well and weren’t handling the phone calls that we had very well in terms of answering our calls on time. So, we had to spend a fair amount of time last year in terms of building that management team and that infrastructure to be able to move forward. And the second thing I think would be from a marketing perspective, we are still very much second tier from marketing perspective compared to any number of our competitors. So we have to improve that side of our business as well.
Craig Moffett – Sanford C. Bernstein: If I could ask one follow up?
Charlie Ergen: And obviously that's going to be a focus for us going forward. How it all shakes out, remains to be seen.
Craig Moffett – Sanford C. Bernstein: One obvious way to do it is to become more promotional on the margin or more price oriented and your 999 promotion, it sort of sets a new price point. You haven't seen customers sort of spending down as I think some people call it, in a recession, but is it your sense that price is going to play a meaningful part of this or do you think ARPUs can hold up pretty well while you start to re-grow gross ads?
Charlie Ergen: I think ARPUs, I think in the industry they were quite aggressive pricing promotions all of last year except kind of within our side. And pricing promotions that are certainly kind of equal to what we are doing today with 999 because that's only for six months and some people have stuff that goes on for a year, 20 bucks offer a year, that kind of stuff, bundled discounts of pricing more extreme than that. And so, it would be interesting to see how that kind of all shakes out in terms of the – but the consumer is looking for to save money anywhere they can. Consumers are downsizing in general and so, as kind of the low cost producer in this industry, that's a good thing for us. Wal-Mart, they seem to be fairly well in tough markets and we have to be operationally efficient to do well but assuming that we can become operationally efficient we will do, we should do pretty well in this environment, but we'll see.
Craig Moffett – Sanford C. Bernstein: Thanks, Charlie.
Operator: Our next question comes from Jessica Reif Cohen from Bank of America and Merrill Lynch.
Jessica Reif Cohen – Bank of America & Merrill Lynch: Thank you. Couple of questions. Could you just go back to Sirius for a second, what was the gain on that transaction and do you see any competitive disadvantage with Liberty coming and is there any impact at all on your business?
Charlie Ergen: Well, we don't know what Liberty will do with the asset and obviously my reading of that, is they are not actually, they are still a minority position so, I assume the current management will continue to run the company and make the decisions for the benefit of their shareholders and not Liberty, but only time will tell and I don't know their strategy. And we haven't reported any gain at this point from the series of transactions.
Jessica Reif Cohen – Bank of America & Merrill Lynch: Well that would be a Q1 event?
Charlie Ergen: If they are right, you may see a Q1 event.
Charlie Ergen: Yes.
Jessica Reif Cohen – Bank of America & Merrill Lynch: Okay. Have you re-negotiated your Univision deal?
Charlie Ergen: I don’t think we disclose, we have quoted a contract to come up from time to time, even occasionally we have somebody come off here and we have any number of contracts from time to time and we don’t comment on anything on those individually preferred to really negotiate those privately.
Jessica Reif Cohen – Bank of America & Merrill Lynch: How should we think about out our role programming costs in '09 versus '08?
Charlie Ergen: It would be higher. I mean, I guess I'd answer the question this way. Most of our Korean contracts are long-term. I think that we are similar to other people industry where programming costs depending on the particular provider are going up anywhere from what call it 4% to 8% depending on who the provider might be and you know it. It's slightly higher than the rates of inflation. Obviously, now we have deflation to the extent that we got programming contracts in place, our programming prices, our programming costs are actually going up at quite a bit higher than the rate of inflation.
Jessica Reif Cohen – Bank of America & Merrill Lynch: So it's like high single digit.
Charlie Ergen: I think everybody in the video business is in that, and that’s probably in that situation.
Jessica Reif Cohen – Bank of America & Merrill Lynch: Right, but I mean overall high single-digit is a good place to be.
Charlie Ergen: High single-digits would not be a good place to be.
Jessica Reif Cohen – Bank of America & Merrill Lynch: No. But I mean is that –
Charlie Ergen: I think, again, I don't know exactly but I think programming contracts that we've done in the past might have been in that 4% to 6%, 7%, 8% and probably we would look for any programming contracts in the future would be materially lower than that.
Jessica Reif Cohen – Bank of America & Merrill Lynch: Okay.
Charlie Ergen: Just given that we don't have inflation any more.
Jessica Reif Cohen – Bank of America & Merrill Lynch: Right. The last thing, can you elaborate on the timing of the Voom litigation.
Charlie Ergen: Which one?
Jessica Reif Cohen – Bank of America & Merrill Lynch: Voom.
Charlie Ergen: Do you want to take that, Stan?
Stanton Dodge: It's hard to say at this point. Probably just, we are just in the middle of discovery.
Charlie Ergen: So I imagine that will go on for a few years, I mean that, that’s a, the wheels of justice grinds slowly sometimes on those kinds of cases.
Jessica Reif Cohen – Bank of America & Merrill Lynch: Okay. Thank you.
Operator: Our next question comes from Tom Eagan from Collins Stewart.
Tom Eagan – Collins Stewart: Great, thank you. Charlie, you mentioned feeling better about operations as you prepare for 2009. What metric were you kind of thinking about that made you feel, say, it was worth it to offer the promotion for 999? And then also, just maybe some thought on how Q1 is pacing so far? Thanks.
Charlie Ergen: Well, we don't give guidance. So, we won't talk about Q1. I think the metric we focus on today is really our call-in rate from our customers, as in sales cost. So, why are your customers calling in, and then can you handle those calls, right. AT&T causes a disproportionate number of call-ins to our calling rate and the absence of AT&T automatically helps us with some operational efficiencies, because what happens with AT&T is they build our customers. So, when a customer calls us on a billing question, we couldn't answer the question, and they call AT&T and AT&T said, well, we can't answer the question, you've got to call DISH, the customer just got routed back and forth, and so we ended up, even though we had some operational inefficiencies with the current AT&T customers going forward, when we sell our customer direct or we sell through a retailer or rebuild the customer direct. We have some built-in efficiencies there. Then of course, obviously, in our focus of our management and so forth, we are getting better at what we do. And some of the things to get really efficient will take longer because they involve IT resources and things like that. But, I guess I would just, again I just, I can't say anything simpler than last year was about stop and get worse. We really were getting worse for most of the year. And this year is about getting better in everything that we did.
Tom Eagan – Collins Stewart: And Charlie –
Charlie Ergen: It's easier to manage it when you are getting better. You are feeling better you're seeing progress, those things. It's hard when you know you are going to be worst the next, you're getting worse, and at what point you turn the corner.
Tom Eagan – Collins Stewart: Right, and Charlie, in terms of AT&T, you mentioned about 17% of the gross ads were from AT&T. So that may translate to about 125,000 in the quarter. So, did you actually net gross subscribers for the AT&T base or did you lose subs and what was the churn? Last I remember, the churn was a little bit above your churn for the overall business?
Stanton Dodge: Well, you can calculate based on what you just said there, but we said I think last quarter I believe this may still be in, that’s the churn for AT&T subs is a bit higher than our average turn overall.
Tom Eagan – Collins Stewart: Right
Stanton Dodge: You could probably, based on the numbers; you just decided you'd probably figure out roughly.
Tom Eagan – Collins Stewart: Right.
Charlie Ergen: We gave the total number of AT&T that we have. Did we give that?
Stanton Dodge: We said roughly 1 million.
Charlie Ergen: Roughly million subs. What do we have, 1.8% churn. So that's 5.5% churn of 1 million, so 55,000 on your 17, so you can figure out. That would be a net gain of AT&T. It would have been.
Tom Eagan – Collins Stewart: Okay. Thank you.
Operator: Your next question comes from Jason Bazinet from Citi.
Jason Bazinet – Citi: I just have two questions. We are in the middle of a pretty bad bare market. Your stock is down more than the market. You are doing over $2 a share of free cash. You mentioned your balance sheet is lean. You don't really have any maturities until the back half of '11, and yet you bought back a million of stock I think in the quarter. Can you just talk about how you are thinking about your cash and sort of why you are so risk adverse given how cheap your stock is and how benign your maturity schedule is?
Charlie Ergen: Well, we answer this question pretty much the same way every time. We are risk adverse, but that doesn't mean we wouldn't ever not buy our stock back. I mean, I think that, we look at where our cash was. We thought that three weeks ago we thought maybe using some of our cash to help Sirius was a good idea. That didn't work out. That didn't work out long-term, but short-term that might not have been a bad move for us. That cash now is available to do other things. We take a look at other situations like Sirius out there where there is good companies that we maybe can help out that strategically might also be important to us. So, there's lots of thing we look at, and absent, we balance that versus buying back stock versus buying back debt, versus paying a dividend, but maybe the tax rates going up on dividends, and we factor all those things in and our Board of Directors has lot of input into how we would look at that and we kind of make, try to make rational decisions based on that. In hindsight, I think we did, I think we were, we made a good decision not to aggressively buy our stock back. A, it's gone down, and, B, the capital crunch closed the markets to us, and we had to pay back $1.5 billion of debt. So I think we did, made those big decisions correctly. So I think we've been a good steward kind of, of our cash.
Jason Bazinet – Citi: Can I just ask one follow up? In terms of your accounts receivable, in terms of days, I think it moved up to about $800 million of receivables or about 25 days, which is bit higher than normal. Can you provide any color in terms of what might be happening?
Charlie Ergen: Bernie, you want to take that?
Bernie Han: Yes. There is nothing terribly material there. Our days receivable actually with EchoStar went down a little bit, our days receivable, I think with all others slightly up. Anything noteworthy?
Stanton Dodge: Nothing material. I think it's the fairly normal fluctuation that we see in period.
Charlie Ergen: Well, I wouldn't say that. I think we'd like to be a few days less than 25. I think the overall tone of the market people are taking a little bit longer. And I don't think there's any more risk in there. That I think is business as usual, but I think our A. R. guys probably need to get that down a couple of days.
Jason Bazinet – Citi: Okay. Thank you.
Operator: (Operator instructions) Our next question comes from Paul Rainey [ph], who is a private investor.
Paul Rainey: Yes, Charlie, I've been an investor since the mid 90s since you were started and I can remember at one point in the conference call or maybe it was just Charlie chat, you remember those, where you remarked that the company would be profitable at 4 million subscribers thereabouts. We're now fast forward ten years, 12 years to 13 million subscribers. My question is this. Do you ever see a point in time, when we stopped spending so much money on sack and instead put that money back to the stockholders?
Charlie Ergen: I'd say it in a different way, Paul. There is a day, alright, when spending money on sack would not be the best investment we can make. And as an example at our stock price today, I don't know what the math is, but the stock market may only be giving us value for $900 a subscriber or $800 a subscriber. If sack was materially was more than that it might not make sense to get a new subscriber. And so what else would you do with that? And so, I think that years ago was a no-brainer to spend your money on sack. And I think that as the video business matures, as it becomes more competitive with phone companies there could be a day when not all sack expenditures will make sense financially and then I think it will take a lot of guts and a lot of courage as a management team to say, let's go spend that money in a wiser way for a shareholder. It was given, whether that’s paying the dividend, whether that's somehow getting it back to shareholders, whether that's acquiring a company or whether that's doing something else with the capital. And so, we look at that.
Paul Rainey: Okay. Thank you.
Operator: Our next question comes from Lee Cooperman from Omega Advisors.
Lee Cooperman – Omega Advisors: Yes. Thank you. This is really as a subset of Jason's question. In September, we bought back a little over 3 million shares, paid 26.82. We took time off in October, November. Maybe we're distracted by other things and then in December, we bought stock back about $1 million worth as Jason mentioned at 9.99. And I am assuming, I'd just be curious, do you think the value of our business, not to forget the stock market, but the economic value of our business went from $27 to $10 in three months period? I'm trying to figure out why would you buy less by a major factor than you bought at three times the current price or close to three times? And second, I noticed we rebalanced upward the program back to $1 billion but for some reason we said we couldn't buy back more than 20% of the company. I assume if it's cheap enough, we want to buy it all back but within the confines of the market but any help you could be in trying to interpolate and try to go into your head and figure out what we're thinking?
Charlie Ergen: Lee, I'd just give you a couple of points. One is any stock buybacks we do are some kind of what that's called, program?
Bernie Han: 10b5-1
Charlie Ergen: 10b5-1 program, so we have to set long-term initiatives there. So, that could explain the 9.99 stock price in a sense that we would set a price. The second thing is we don’t think the economic value of our company changes nearly with the kind of volatility that the investor does. Because obviously the investor has redemptions from a hedge fund or too much or too little in a portfolio of something so they move on other factors. We look at it a little bit long-term there. And third is, obviously we were doing some other things in the time frame, we thought that made sense rather than our stock back with Sirius just being one of them. So a one example of it. So, I mean if you're asking question do we like the company, we like the company. Do, we like the company, do we think we think we should be able to build more value than we are, getting credit for? Yes, we do. But we have to go execute, and prove. Our job is to prove the people that have our stocks at this price, wrong. And we haven't done a very good job of that the last couple of years.
Lee Cooperman – Omega Advisors: While I guess that's the opportunity that Mr. Mark is giving you to capitalize on. What I'm trying to figure out and maybe answer it was in the Sirius distraction, but to buy 3 million at 27, and to buy 82,000 at 999 isn't too logical. But I think I understand…
Charlie Ergen: On the surface quite doesn't look logical but behind the scenes I think it was very logical.
Lee Cooperman – Omega Advisors: But my question is, is there anything magical about this 20% limit?
Charlie Ergen: I think that was in relation to just the amount of cap, amount of cash we had and we didn't want to go into the marketplace to borrow money so I think the Board put a different, put a secondary limit on it.
Lee Cooperman – Omega Advisors: Got you.
Charlie Ergen: You let me, a $1 billion authorization they put a secondary limit on it because it didn't want us go into capital mortgage debt to acquire debt to buy back our stock.
Lee Cooperman – Omega Advisors: Assuming your business, which you're striking an optimistic view you're some with optimistic view in a very difficult environment seemed confident for obvious reasons on your balance sheet. I don't know if it's a fair question, unfair question but if your stock was $10 for most of 2009 would you like to spend the billion dollars from buying to back?
Charlie Ergen: Depends on what else we do with the money. We spend a lot of alternatives. I guess why I'd say I'm optimistic is it is a business person I'm, I am excited about the current environment is so bad, in a general economic, in a general economic way. That it's, you really are going to have to be good to be successful and we haven't performed that well the last couple of years. But if you can really perform well you can do, you can separate yourself from the rest of the markets. And we have an opportunity to do that in this kind of environment because you really have to be good. And this is not an environment where a rising tide lifts all ships. So we have a good balance sheet, good cash flow, I think we have good management now and we are in a TV business where no matter how bad it gets people are still going to turn on their TV to see how bad it is. And so we are in one of the better industries for this kind of environment. So how can we par lay that into to growing our business? And that’s the real challenge for us. This is not a one-year kind of, lets take a look at three or five-year time frame and we are uniquely position to look a little longer term in most companies. Let see how we do three, five years from now, and that can we make long-term decisions that make some sense.
Lee Cooperman – Omega Advisors: For what it's worth, I think if someone just figured it out, you will figure it out. Good luck.
Charlie Ergen: Thanks.
Lee Cooperman – Omega Advisors: Good Luck.
Operator: Our next question comes from Gerard Hallaren from JRPG.
Gerard Hallaren – JRPG: Yes, good morning. My questions relate and these may turn out to be EchoStar rather than DISH questions but if you can provide some clarity I would appreciate that. What's the status of what's going on in China with the satellite and with your contract to provide?
Charlie Ergen: That's going to be an EchoStar question; we will be doing that conference call
Gerard Hallaren – JRPG: Okay.
Charlie Ergen: Right after this one.
Gerard Hallaren – JRPG: Okay. Thank you.
Operator: Our next question comes from Benjamin Swinburne from Morgan Stanley.
Benjamin Swinburne – Morgan Stanley: Thanks, guys. Charlie, just a couple of questions on churn. Obviously you could drive the value of your customer base up, its getting churned under control going that down you've got lot of step to talk about like piracy, essentially impacting that, when you look at Direct TV, $1.5 billion, year of cash on retention marketing there is certainly a relationship there. Do you need to increase your spending level on an existing sub-base to try to get the churn down? Is that a pay off that you think starts to make more sense as the market develops? How do you think about that balance and then secondarily unrelated, DISH has always been a leader in international program that you guys have done well in Hispanic tiers and Chinese tiers. The cable industry is talking about user switch digital to add a lot more ethnic programming. Have you seeing that in your business yet? Do you expect to see that and do you have any changes in mind to try to offset that risk? Thanks.
Charlie Ergen: Well on the international side, that certainly more competitive industry today not only with cable but also with Direct TV. Where there's any number of international programming whether it be switch digital or regular cable particularly in a highly Hispanic market. But we continue to do pretty well in that market. In terms of retention marketing at least, we are we are much better shape there today because at least in a retention margin, today we know that if we go out and do something to upgrade a customer, we probably don't have to go back in for a fairly long period of time, in other words, we have finished our transition to MPEG-4. So, we only produce MPEG-4 boxes today. We have obviously, our set-top box designs are fairly mature are fairly well along other than the Sling enabled box but with the hard drive and external hard drive and all those kind of thing and our satellite fleet is now, we suffered in a loss last year. But we've recovered that with our successful launch a couple months ago. So, our satellite fleet now is in all of our locations so, we don't do an upgrade today, we don't, in theory we have to go back. Last year we knew if we didn’t upgrade we would be going back a year later. So, we can be much more efficient in our upgrade process today. And so, whether it makes sense to spend at the levels that some of our competitor spend, remains to be seen yet to continue to run that math. In some instances it's better to have churn, in some instances it's better to save the customer. But, we look at it typically that how good is the customer and if we do the upgrade, is that upgrade going to last for three or four, five years or are we going to have to go back in and do it again and that are those of some of the variables that we kind of take a look at. And I certainly would, I think, I just think we can be in, we are in a better position retention market to spend it efficiently and know to and get a return on it and we have in the past couple of years.
Benjamin Swinburne – Morgan Stanley: And Charlie, just as a follow up, do you think you have got intelligence and systems in place internally to know whether a customer wants an upgrade or not at this point?
Charlie Ergen: Yes. And we may get it wrong occasionally as specific customer, but I think we have our customers segmented in general buckets in terms of their value. We know we have customers out of that 13.5 million customers that we don't make money on. And then when they call up and ask for an upgrade, we may give them somebody else's phone number, and then we have customers that we know would certainly justify an upgrade, no questions asked. But the trick is to make sure that your, you know your 10,000 customers service agents are all trained in that. But the systems are there to identify them.
Benjamin Swinburne – Morgan Stanley: Thank you.
Operator: And we have a follow-up question from Vijay Jayant.
Vijay Jayant – Barclays Capital: I wanted to confirm your interest in Sirius, was that a DISH or a SAP call? Thanks.
Charlie Ergen: Well, I think the offer came from DISH. Is that fair? Yeah, it came from DISH.
Vijay Jayant – Barclays Capital: Thank you.
Operator: And our next question follow-up question comes from Tuna Amobi.
Tuna Amobi – Standard & Poor's: Hi. Thank you very much for taking the follow-up and just wanted to comment you guys for devoting the whole length of the call to Q&A. I wish some of your peers could take a queue from that. So, the question here a follow-up Charlie is, on the AT&T, I think you said in last call that contractually that the Direct TV couldn't market to those guys. So, my question is as you kind of begin to track some of those churned in subscribers are you going to be able to kind of isolate those that perhaps could have churned you to any kind of direct contact or otherwise, how you really intent to kind of attribute any kind of churn in that subscriber base?
Charlie Ergen: You are correct and contractually AT&T can't target our customers to switch into Direct TV or to U-verse for that matter, but having said that from a practical manner even when we had a relationship with AT&T, a slightly higher, there was slightly higher churn rate in part because they had an incentive that moved them to the U-verse and they went into U-verse down so we certainly could see that when AT&T started U-verse in a particular community, that our subscribers went down and our churn went up, and we have to be vigilant. We have the ability to track that. We are tracking that you know work with AT&T and AT&T has shown themselves to be, a actor and good faith, when presented with facts. In the past, we'll see if that continues, but we think it will, a lot will be vigilant to make sure that, that they aren’t violating that part of our contract.
Tuna Amobi – Standard & Poor's: All right.
Charlie Ergen: But long-term it's one of the risks you have when you deal with somebody who is a partner and a competitor that’s, good business relationships work when both parties have the same motivations. And usually they don't work for long-term when there's different motivations and so. While I think that a loss of AT&T is certainly a setback for us in 2009, long-term assuming we managed properly as long-term is not, it maybe a positive force, because we can focus on those partners, who will be long-term partners who have the same motivation that we have and the same incentives.
Tuna Amobi – Standard & Poor's: Okay, thank you very much.
Operator: And I have no more further questions in queue. I'll turn back to management for any closing remarks.
Charlie Ergen: Okay. Thank you for joining us. I guess we'll be back in this May. We'll back in May. Thanks for joining us today.